Björn Tibell: Good morning, everyone, and welcome to the presentation of ASSA ABLOY's Q2 report in 2025. My name is Björn Tibell. I'm heading Investor Relations. And joining me here in the studio are ASSA ABLOY's CEO, Nico Delvaux; and our CFO, Erik Pieder. We'll start now, as usual, with a summary of the report before we open up for your questions, and then we will round up in about 1 hour's time. So with that, the floor is yours, Nico.
Nico Delvaux: Thank you, Björn, and also good morning from my side. We can report good numbers for Q2. We had a strong overall performance with a good organic growth of 3%, a low 2% price, a high 1% volume. So it's also good to see now that we have for the second quarter in a row, again, positive organic volume growth. We have seen good organic sales development of strong sales growth in Global Tech, good sales growth in Americas and small sales growth in Entrance Systems, but then a sales decline in EMEIA and in Asia Pacific. Also good to see that organic growth continues to be supported by a strong growth through acquisitions, 5% net in the quarter. And then a very strong operational execution with a volume leverage of 53% on the 3% organic growth, giving us an EBITA margin of 17.2% and an EBIT margin of 16.2%. Also good work on the balance sheet side with a strong cash flow of SEK 5.5 billion and a cash conversion of 103%. And we continue to be active on the acquisition front with 5 acquisitions completed in the quarter. If you look at the numbers, sales of SEK 38 billion, so the 3% organic, the 5% net acquisition and, unfortunately, a strong currency headwind of minus 8%. The EBITA margin of 17.2%, even above the 16% to 17% bandwidth, which we aim for, EBIT up 1%. If we then look a little bit into the different regions, I can repeat what I said in previous quarters. We continue to see strong momentum on the nonresidential side, so the commercial side. We see that as well in North America, as in Europe, as in Oceania. And we continue to see more challenging market conditions on the residential side where in North America, interest rates remain too high and where the effect of ECB lowering the interest rates in Europe has not translated yet in a recovery of that residential market. Where we see some uptick on the residential side is in Sweden. You know that their interest rates were already cut more than a year ago in May last year to be exact. For the first time, we had 5 rate cuts in Sweden. And we see in Sweden R&R slowly coming back, but no recovery yet on the new build. Very similar situation in New Zealand that is very comparable to Sweden. What's also good to see is that we continue to see more activity on the logistics vertical in Europe and definitely in North America. So North America, plus 4%, where on the commercial side, we had a very high single-digit organic growth and where we had a flat development on the residential side. South America, plus 4%. The Americas division was flat in South America, but we had a strong Global Tech, so continue to be a good momentum in South America, although we are a little bit concerned, obviously, with what's going to happen with mainly Brazil and Mexico now with the import tariffs towards the U.S. Europe, plus 1 where, again, on the residential side, France, especially is more challenging because France is also very exposed to the residential side, but very strong DACH and then Scandinavia or Nordics recovering. Africa, plus 4%; Oceania, plus 1%; and Asia, minus 2%, where we should make a big distinction between Greater China, where all market indicators continue to be double digit down. You can look at new housing build on the residential side, new permits, finished houses, everything is down double digit. And we also have seen a double-digit negative growth in our Greater China business, where the rest of Asia is really strongly positive. Some market highlights. You might have seen this also on social media, SKIDATA entered a strategic partnership with Samsung so that our SKIDATA access management solutions for stadiums, now people going to the stadiums can also experience the Samsung Wallet experience, a smoothless experience when they use the SKIDATA access management solutions in those stadiums. Some bigger project wins in South Korea, one of the largest apartment complexes with more than 2,500 apartment units using our door hardware. The Freedom of the Seas, one of the biggest cruise ships in the world in our Marine segment in Global Solutions using our solutions and updating more than 2,700 locks to RFID. And then a stadium in Illinois, focusing also on sustainability, improving energy efficiency using the Americas hardware. So now like I mentioned, the second quarter in a row with good strong organic volume growth continued to be complemented with strong growth through acquisitions. Our sales up 59% if we compare with 2020 on a 12-month moving trend. Operating margin within the 16% to 17% bandwidth, a run rate of 16.1% on EBIT and 17.1% on EBITA. And then a good operating profit for Q2 and EBIT up with -- on a run rate with 108% (sic) [ 106% ] if we compare with 2020. Acquisitions, as mentioned earlier, 5 acquisitions completed in the quarter, 11 year-to-date. They represent an annualized sales of SEK 4.4 billion. And then we also concluded the divestment of the Citizen ID business, where we agreed with all parties to keep the U.S. part of that Citizen ID business. It's a smaller part. It's around $25 million depending on year-to-year, it fluctuates a little bit. It's mainly the Green Card business that is a project that normally will end somewhere beginning of '27. And as it's close to the end of that project, all parties agreed that, that was the best solution. Some highlights, TeleAlarm, a European -- German provider of remote care technology, reinforcing our product and solution offering within senior care, and they had a sales of SEK 330 million last year. And then Kingspan, an acquisition in my Country, Belgian manufacturer of high-quality door panels for sectional doors, residential and commercial doors. They had a sales of SEK 290 million last year. If we then go a bit into the different divisions, EMEIA, an organic sales decline of minus 1% with good sales growth in Central Europe, a small sales growth in the Nordics, where we commented on the recovery of the residential side in Sweden. A sales decline in U.K., Ireland, mainly related to some timing issues on some bigger projects. We are and we remain more positive on U.K., but then sales decline in South Europe, mainly because of France residential and also sales decline in Middle East, India and Africa, mainly because of the Middle East. An operating margin of 13.9%, where we had a negative operating leverage of 30 basis points on the minus 1% organic sales, but were helped by currency, 50 basis points and M&A 10 basis points. A very strong Americas, an organic sales of 4% with a high single -- a very high single-digit sales growth for the North America Non- Residential Segment, flat sales in North America Residential segment, which I think is a very good achievement given the market conditions and also flat sales in Latin America against a difficult comparison last year. An operating margin of 18.6% with strong operating leverage, 60 basis points on the 4% organic growth, helped by currency 20 basis points, but then a stronger dilution on the acquisition side, 120 basis points linked to Level Lock, as we mentioned in Q1, this dilution would continue in Q2, and we foresee now that in the second half of the year, that dilution will normalize to more normal M&A dilution levels. Asia Pacific, an organic sales decline of minus 1% with a strong sales growth in Pacific Northeast Asia and a significant sales decline in Greater China and Southeast Asia, where we should make a big distinction between Greater China, where we had high double-digit negative growth and Southeast Asia, where we had double-digit positive growth. But despite the negative organic growth, very good operational execution with excellent operating leverage of 130 basis points, giving us an operating margin of 9.6% with FX dilutive 10 basis points. Global Technologies, another division with very strong performance in the quarter, and organic sales growth of 8%, very strong sales growth in HID, strong sales growth in Global Solutions, where I would say all business areas or business units contributed to that strong growth. Also very good operating margin of 18.5% with an excellent operating leverage, 280 basis points accretion. And then FX dilutive, a significant way, 100 basis points because of the weaker U.S. dollar. and M&A accretive 90 basis points, mainly because we don't have the Citizen ID business outside of the U.S. in our books anymore. And then last but not least, Entrance Systems, an organic sales of plus 1% with very strong sales growth in Perimeter Security, good sales growth in Doors and Automation and in Pedestrian, but the sales decline still in Industrial. Only a small sales growth in service where we find it challenging to find enough service technicians to execute on all the work that we have in the pipeline. A good operating margin of 16.5% if we take the dilution of SKIDATA into account, a very strong operating leverage, plus 100 basis points. FX dilutive 10 basis points. And like we also mentioned, in Q1, SKIDATA is very seasonal. So Q1 and Q2 are lower quarters from a top line perspective for SKIDATA. Q3 is better and then Q4 is much better. So that dilution will go significantly down in Q3 and definitely in Q4. And with that, I give the word to Erik for some more details on the financial numbers.
Erik Pieder: Thank you, Nico, and a very good morning from my side as well. As mentioned before, if we look on the sales, it ended up flat due to the sort of the headwind that we have from the currency with minus 8%. Organic growth was strong at 3%. Our EBIT operating income in value is up with 1% despite also there, we would have a headwind from the currency. The EBITA margin and the EBIT margin, 17.2% EBITA margin, 16.2% on EBIT, stronger than what it was a year ago. Income before tax is up with 2%. Net income and EPS is up with 1%. Cash flow, as mentioned before by Nico, was strong at almost SEK 5.5 billion. It's slightly lower than what it was a year ago, but still we had a very good cash conversion of 103%. And finally, then we continue to improve our return on capital employed. It went up with 20 basis points and ended at 14.2%. If we dissect a bit and look into the bridge, the sales price is, let's say, a low 2% and volume is a strong 1%, and that combined gives us about 3%. We had a very good operating leverage of almost 53%. This is driven by the tailwind from price cost. It's driven by operational efficiencies. We had savings from the MFP program of about SEK 200 million, but we also had other operational savings in there. Currency had a slight negative impact of 10 basis points. And then you heard Nico talk before about the dilution on the M&A of the 60 basis points that comes from the SKIDATA as well as the Level Lock acquisition. Cost breakdown, direct material, 60 basis points better than a year ago. In this 60 basis points, there is no mix. So this is pure, let's say, the price versus cost. And as you -- as those ones have seen, it starts to go down every quarter, and we expect that to continue -- that would have a less positive impact in the quarters to come. It's positive to see that the conversion cost is favorable versus the same period last year. It's 50 basis points better. I mentioned before the MFP savings, but we also have MFP savings, pricing efforts and also other operational efficiencies that we have done. We also see less of a dilution on the SG&A. It was minus 30 basis points. There, sort of our efficiency measures couldn't cover for the inflation as well as continued investment that we have within our sales organization. Operating cash flow, as mentioned before, it was strong. We still continue to do very well, I would say, on the working capital management. We had a slight uptick in receivables, but it's not, let's say, it's still sort of very much under control. And as mentioned before, the cash conversion was 103%. And if you look on the 12-month rolling versus EBT, it's 105%. The gearing, net debt to EBITDA went down slightly to 2.3. Net debt to equity is 71%. In value, our debt versus the last quarter went down with roughly SEK 0.5 billion. And that is, of course, on the negative side, we have continued acquisitions. We have paid half of the dividend. On the positive side, we had a good cash flow as well as we are helped of the stronger Swedish krona. But -- and all in all, I think that we can continue to do our acquisition strategy because our balance sheet still remains strong. And last but not least, you were sort of trying to speed me up there, Nico. Earnings per share, as I said before, is up with 1%. And with that, now you can sort of take your concluding remarks.
Nico Delvaux: Sorry for that, Erik. Of course, up to you to judge, but we are convinced it was a strong Q2, strong overall performance with a good organic sales growth of 3%, complemented with strong growth of acquisitions of 5%, then a very strong operational execution with an excellent operating leverage of 53%, giving us an EBITA margin of 17.2% and an EBIT margin of 16.2%. Strong cash flow, SEK 5.5 billion, strong cash conversion of 103%. And okay, it's not a surprise if I tell you that we live in an uncertain market condition. But there, again, like we say every quarter, we are convinced that our decentralized organization, being able to make decisions very close to the local customer in the local market gives us a competitive advantage in those uncertain market conditions. And last but not least, Björn asked me to remind you of our Capital Markets Day that will take place on November 19 in the U.S. and the registrations are open on the link that you can see on this slide. With that, I give back the word to Björn for Q&A.
Björn Tibell: Excellent. Thank you, Nico. Well, it means it's time to open up for questions now. [Operator Instructions] We don't have as many people indicating that they would like to ask questions at the moment. [Operator Instructions] So with that, operator, it means that we are ready to kick off the Q&A session. Please go ahead.
Operator: [Operator Instructions] The first question comes from the line of Midha, Vivek from Citi.
Vivek Midha: My main question is on the Americas growth, slightly better sequentially than Q1. You highlighted high rates pressuring the residential segment, but then compared to Q1, resi appears to have improved from the mid-single-digit negative growth you highlighted then. So could you please comment on how you expect Americas organic growth to develop over the coming quarters? And also specifically, how much of the improvement in Americas was driven specifically by price?
Nico Delvaux: Yes, I would say that we don't see too much of market changes in the Americas division. We continue to see good momentum in LatAm. With that side remark, like I mentioned earlier, that we are a little bit concerned going forward with Brazil and Mexico, in particular, with -- linked to the tariffs in the U.S. But for the time being, we see still good momentum in LatAm. If you take North America commercial side continues to be, yes, good momentum, perhaps not as hot as 3 years ago, but very good momentum. Our specification business in the quarter was again up double digit in all verticals and definitely in the 2 verticals that matter for us the most, health care and education. We only -- again, all verticals were positive with the exception of offices, which should not be a surprise and hospitality, which we believe is might be just a timing issue. But so double-digit up on the specification side, which is for us the only real leading indicator on commercial new build. And then residential, like I mentioned earlier, we don't really see an improvement. If you look at interest rates, the gap between where the house owners have their interest rates sitting for their existing loans and at what interest rate they can get a new loan is still too big for things really to start moving. Then of course, you most probably will see a little bit of recovery on the R&R side because at a certain moment, people just decide to refurbish their house because they don't want to wait any longer. And if they refurbish their house, it will be good anyhow if one day they want to sell the house because it will increase their price. So that might be something we see in the numbers. But I would not be too enthusiastic that residential is recovering in the U.S. We don't see that yet. When it comes to price, the Americas had a price component similar to the group. Of course, they had already some help on price from the tariffs. But that only start to kick in, in the latter part of Q2 because, obviously, we build up a lot of stock locally in the U.S. before all the tariffs came in. And I might be surprised that the price component is not higher. A big explanation there is that the Americas also has an important steel door business. And as we mentioned in previous quarters, on the steel side, we were done with price increases because steel was going down over the last several quarters. And that is still the case. We are confident now that going forward, also there with all the tariff situation, steel will go up again and that, that will also give us then the possibility to again increase prices on everything that is steel.
Vivek Midha: Very helpful. One quick follow-up. You mentioned spec growth in the U.S. there. Could you give us an indication of how it trended in EMEIA and Oceania?
Nico Delvaux: Yes. So overall, for the world, we had a double -- low double-digit growth of the spec business. And in EMEIA, it was high or very high single-digit growth.
Operator: The next question comes from the line of Andre Kukhnin from UBS.
Andre Kukhnin: I just wanted to dig into the Global Tech actually margin performance, please. I wonder if you could comment a bit more on sustainability of that? Or should we think about kind of moderating back to the trend levels that we thought about before for this business?
Nico Delvaux: Yes. So if you look on the margin, of course, the fact that we had high top line growth as well in Global Solutions as in HID helps in an important way to get the volume leverage. And we have seen good growth, like I mentioned, on all business units or business areas as well in Global Solutions as in HID. But we had a positive mix in the sense that we had stronger growth in PACS in HID, which is the more profitable subsegment in HID. And we had also very good growth on the hospitality side in Global Solutions, which also has better margins than the other verticals in Global Solutions. So there was the mix. There was definitely very strong operational execution and good pricing leading to that very good margin for Global Tech. You know that we had all those disturbances in the numbers because of the electronic shortages, I would say, almost 3 years ago related to the PACS business. That has -- is completely behind us. And as of now, we foresee PACS to grow again like they were growing before COVID on that somewhere mid-single-digit growth level. And that's, of course, important from a margin stability perspective for Global Tech.
Andre Kukhnin: Great. And just a quick follow-up on something you mentioned on the cost side when we talked about MFP, but also other operational savings, Erik. Could you just comment on what those kind of other operational savings are? And how should we think about them? Is that kind of a specific push in the quarter to maybe mitigate M&A dilution? Or is this something kind of more sustainable?
Nico Delvaux: So we continue to do VA/VE activities in our factories. We do lean activities. That's an ongoing progress, a process that gives us cost savings every quarter with the automation, robotization. And then in the quarter, in particular, we also did some extra cost measures in several divisions, but mainly in the Americas, where in the residential segment, we adapted our personnel number, you could say, to the new lower reality. We unfortunately had to cut, I think, around 400 people on the residential side. We did something similar on the commercial side and also in LatAm. And that obviously then also helped on the leverage. And we did smaller -- similar activities in some other divisions.
Operator: We now have a question from the line of George Featherstone from Barclays.
George Featherstone: I just want to start on Entrance Systems. You've talked before about some maybe positive orders momentum building now, I think, probably related to the Industrial segment. Can you just talk a little bit about what you're seeing in underlying activity now from an orders perspective? I appreciate things haven't sort of translated yet from a revenues standpoint. And then just a follow-up on the Americas conversation. That Non-Resi business is going quite strongly against the underlying market data, so I just wondered what you think might be driving your performance relative to the broader market backdrop?
Nico Delvaux: So we start with Entrance Systems. As we mentioned at previous quarters, we had seen activity on the loading dock side, on the logistics vertical side coming back somewhere end of last year. We start seeing orders coming in again. And we said that loading docks have a longer lead time, 6 to 9 months. So that effect of these loading docks being translated in sales, we did not see yet now in Q2. That's something that will come in Q3 and definitely in Q4. So we should see an uptick from this in the second half of the year. And we can say that we continue to see good activity on the loading dock side. So there's more orders coming in, and we see a good recovery from, yes, obviously, a very low level, but definitely positive on the logistics vertical side for the Industrial segment in Entrance Systems. When we go to Americas, the question on commercial side. Of course, one quarter doesn't -- you should not conclude too much on one quarter. Yes, we had a very good quarter with high or very high single-digit growth for the commercial side. I think if you look at relative performance in the market, I think you should look over a much longer period. And if you look over a longer period, what we definitely have done in the U.S. or in North America is invested heavily in new product development coming with a lot of new products, extending our product range and also further verticalizing our sales organization with dedicated sales teams for the different verticals. And we are convinced that those 2 actions definitely have helped us in our relative position in the market.
George Featherstone: Okay. So just to follow up on the last point. Do you think that this is just the cumulative effect of the positioning in the business in the U.S. rather than anything specific to the quarter related to early buyout tariffs?
Nico Delvaux: No, I don't think that early buyout tariffs has something to do with it. That's not something that would move the needle significantly. I think it's just a very good strong execution by our very strong Americas team.
Operator: The next question comes from the line of Gael de-Bray from Deutsche Bank.
Gael de-Bray: Could you elaborate on the pricing dynamics, please? I mean it was only 1% this quarter despite the impact of the tariff. So can you perhaps help us frame the magnitude of the pricing effects that we could expect to see maybe in the third quarter? That's question number one.
Nico Delvaux: Gael, I don't know how you commented and say that it was only 1%. We said in the call, Erik and myself, that it was a low 2% price component in the quarter compared to a high 1% in Q1. So we have started to see pricing to compensate for tariffs kicking in, I would say, mainly towards the end of Q2 because like I mentioned earlier, we still had and have stock in the U.S. from prior of the tariffs. So there was not a very urgent need to increase prices for the tariffs, but we were able to fully compensate, as you have seen on the volume leverage, as you have seen on the EBIT margins, we were able to fully compensate for the tariff cost and keep the margins through the price increases. And therefore, you see that uptick from a low 1% to -- from a high 1%, sorry, to a low 2% in Q2. We should not forget that the tariff is only on the U.S., so it's only on less than 50% of our top line.
Gael de-Bray: Okay. Understood. But then the pricing contribution is expected to move up, I guess, sequentially in the third quarter, but the tariff headwinds will probably also accelerate in that same quarter. So all in all, I mean, how do you feel about the price versus cost looking at the third quarter in the U.S. on a sequential basis?
Nico Delvaux: We made a calculation and things, of course, change every day, but we made the calculation 2 days ago with the tariffs as they stood 2 days ago. If we want to fully compensate for the tariffs and protect the margins and do that only with price increases, we would need a price increase between 4% and 5% in the U.S. Obviously, that 4%, 5% is on half year, and it's on half of our top line. So you could say that the tariff price component for the second half of the year should be around somewhere around 1%. Then obviously, we will not only do and compensate for price increases, we're also working hard on renegotiating with our suppliers to get better deals. We see that suppliers are receptive to the idea of keeping business for trading in some of their margin. And we also continue to relocate some of our products from, let's say, higher tariff countries to lower tariff countries. So all that together, and it's clear that pricing is the main component. We are confident that we will be able to compensate for the tariffs and keep the margins from a tariff cost perspective. And like Erik mentioned, you have seen over the last quarters, the accretion price versus cost going down. It was 60 basis points this quarter. We expect that to be still positive, but lower now in Q3 and further fading out as the big effect of hyperinflation and, therefore, strong price increase in previous quarters or previous years starts to fade out.
Operator: We now have a question from the line of Marianne Bulot from Bank of America.
Marianne Bulot: I wanted to focus a little bit more on the residential segments, especially in EMEIA and APAC. Just wondering in Europe, do we need to wait a full year to see the recovery as we have seen for Sweden? Just wondering if you've seen any kind of signs of bottoming or if you see continued softness for H2?
Nico Delvaux: Of course, we also don't have the glass ball to look into the future. Let's say that we are a bit more confident on Europe than on the U.S. because in U.S., you have that gap, like I mentioned earlier, between where people have their loan and interest rate at which they have the loan today versus where the interest rates stand. It's true that in Europe, if you take EU, the ECB has lowered interest rates now 4, 5x. But it's too early to see that already being translated in more activity for us because we are also more towards the end of the construction cycle. So we believe that, that recovery on the residential side is much -- is more something for next year, not for the second half of the year. Then it's true that in Europe, the comparison obviously becomes easier because it's now already 2 years that Residential went down. The positive side, like I mentioned earlier, is Sweden. They were the first in lowering interest rates. And it's also a country with 100% variable interest rates, so things -- reaction time is much faster. And in Sweden, we see that recovery from a low level on the R&R side. We don't see that recovery yet on new build, but we are confident that, that will be the next stage for Sweden. Obviously, Sweden is a very important market for us. It's a bigger part of our EMEIA sales, and it's also quite importantly exposed to residential. If you take APAC, China, no recovery at all. Again, market down double digits on the residential side this year. So definitely no recovery this year. The other markets Australia or South Korea, I would say, are very similar to EU. And New Zealand is very similar to Sweden. Also in New Zealand, we had several interest rate cuts earlier a year ago. And there, we also see the recovery on the R&R side and where the new build also will start to recover as of -- from now.
Operator: The next question comes from the line of James Moore from Rothschild & Co.
James Moore: A couple, if I could. On the Americas, the good commercial result, is that more on the private side or on the institutional side? And with the One Big Beautiful Bill, do you have any clarity on what that means for the next few years of institutional spend? I just get the sense that education and health care has been pretty good for a while now. And I wonder whether that's ever going to peter out or whether it's going to keep on being very strong because of U.S. fiscal actions. That's really the first question. And the second one would be on HHI. I understand that the market is dead. But in terms of your endogenous internal developments, could you just expand a bit about what's going on and what's keeping you busy?
Nico Delvaux: Yes. So on the Americas commercial or nonresidential growth, obviously, it's -- if you have high single digit, it has to come from both. It has to come from institutional and noninstitutional. But it's clear that institutional is a bigger driver than noninstitutional. And you're right, 2 important verticals for us, education and health care are performing strongly. Now looking to the future, it's very difficult to predict. The only internal indicator we have is our spec business. And like I mentioned, our spec business was up double digits in the quarter and was, again, strong contribution from health care and from education. So we don't see any slowdown in those 2 important verticals for us. So we are still very confident that the nonresidential side will continue on a good level going forward. When it comes to HHI, so like I said, a flat top line development and I think very good operational execution in the Residential North America segment, as we call HHI today. To that aspect, remember that we said we have the ambition to grow -- to improve our bottom line quarter after quarter compared to the previous quarter and compared to the quarter a year ago. Q1 was the first quarter where we did not deliver on that ambition. I can say that now in Q2, we strongly delivered on that ambition. We have seen a strong improvement of our bottom line to that extent that we definitely overcompensated for the negative development in Q1, and we are back on track towards that ultimate goal of 16% EBIT for HHI once the $100 million bottom line synergies kick in. We have put a new organization structure in place for North America Residential segment in July -- or June, July last year, where we created, you could say, subsegments. We have QuickSet Mechanical, QuickSet Electromechanical Digital. We have a hardware subsegment. We have a Private Label subsegment. We have the Faucet segment and then we have the Luxury Hardware segment. And we run those now as separate P&Ls to, I would say, to implement proven ASSA ABLOY concept, giving responsibilities lower down in the organization and fine-tuning actions more on a lower micro level. And those actions also start to bearing fruit, I would say, as well on the top line, where the new products that we launched on the digital side definitely helped in an important way to keep top line flat, and they also help on the bottom line on our ambition to increase the bottom line quarter after quarter.
James Moore: Just how sustainable that is?
Operator: We now have a question from the line of Anders Idborg from ABG Sundal Collier.
Anders Idborg: I just wonder if you could say a bit more about the drivers in Entrance Systems, you say strong sales growth in Perimeter. I know it's not the biggest area, but it's a highly profitable one. So is it data centers mostly? Or is it broader based across logistics? And the other part is just did anything turn for the better there in residential, which has been pretty slow before?
Nico Delvaux: Well, on the Perimeter Security side, I would say it's a result of a lot of very good actions that we have done over many years. Also on the Perimeter Security side, we have segmented the market and have now tailored solutions for the different verticals, be it the data centers, be it logistics warehouses, be it embassies. And that focused approach, we've also dedicated solutions and sales teams definitely has boost our sales. We believe that definitely, we are doing better than the market in Perimeter Security. And like you mentioned, it's indeed the best margin we have in Entrance Systems. So from a mix perspective, that also helps bottom line-wise. We don't see any slowdown. We are confident that we can continue and keep that good work also going forward. Obviously, the boom in data centers helps because they also do fencing for data centers. I would say that the fact that in general, we don't live in a more secure world and people want to secure their places better also helps. And then perhaps the tariffs also on steel, in particular, help us is that it also gives us a competitive advantage over some of our colleagues, competitors in the market that import products from overseas as producing everything locally in the U.S. made in the U.S. for the U.S. gives us that competitive advantage. On the Residential side, we had indeed positive growth. It was mainly because of an easier comparison because, again, we don't see the residential market recovering yet at a significant way in the U.S. And then I mean, it's difficult again to say that you do better than the market in one quarter. I think you should look over a longer period to judge if you gain market share or not.
Anders Idborg: Okay. And could I ask if you could be a bit more specific, what kind of growth rates ballpark are we talking about over the past few quarters in Perimeter, just to have a sense?
Nico Delvaux: Yes. I think if you take the last 3 years, you talk about, on average, high single-digit organic growth per quarter. Then obviously, it fluctuates very much by quarter because it depends if you get a big project or you don't get a big project and the comparison with last year. But if you take the last 3 years, it's high single-digit CAGR.
Operator: The next question comes from the line of Rizk Maidi from Jefferies.
Rizk Maidi: I just have a couple, and maybe I'll take them one at a time. Nico, maybe just on the demand throughout the quarter, have you seen any major differences between sort of April versus May and June? And if you could just comment on how Q3 started so far, please? I'll start there.
Nico Delvaux: Yes. So April and May was, I would say, very much in line with Q1, if you correct for the working days. And of course, you have also the holiday periods in April and May. But then June was better than April and May, again, if you correct for the working days. And June, obviously, is the biggest month in Q2 because there's less holidays in June than in April and May. And we have seen that higher growth rate of June continuing now in the first week or the first weeks of July.
Rizk Maidi: Yes. Perfect. And then maybe can you comment on your pricing outlook? I think you mentioned on the call that you need 4% to 5% price increases in the U.S. to offset the current environment of tariffs. And obviously, you're going to do some efficiencies, et cetera. Just maybe how do you see the pricing component now for the full year if current tariff environment don't change?
Nico Delvaux: I think your last comment is very important if tariffs stay, it looks like tariffs change every day. But like I mentioned, if we -- and we have that ambition, and we are confident we will be able to do so to compensate fully for tariffs and keep the bottom line, that should give us an extra 1% price component on group level for the second half of the year. So before we said that a good price number was 1.5%. So you should add another percent to that. So it should be somewhere around 2.5%. Then we will see how things play out with the tariffs. But the 2.5% should be a good indicative number to go forward.
Rizk Maidi: Perfect. And then just to understand the margin development now in Q2, just to be clear, so mix was neutral and then price cost contributed 60 basis points, basically, right?
Erik Pieder: Correct.
Nico Delvaux: If you talk on direct material, yes, of course, it depends on where you look on mix. If you look mix on bottom line, obviously, the fact that we grew very good in Global Tech and in Americas helps because it's the 2 divisions with the better margins.
Rizk Maidi: Yes. Because for example, if I take Entrance Systems, I mean, the drop-through was quite massive with just a weak -- I mean, low volumes, right? Just how sustainable that is?
Nico Delvaux: Well, I think if you look at the margins for Entrance Systems and you exclude SKIDATA, you will see that margins have been very stable for the last 2 years on a high level. And like we mentioned or like Erik mentioned, we should expect price versus material to be less accretive going forward. On the other hand, we should have less dilution from SKIDATA going forward. Then everything will depend on the mix, how much can we grow service versus equipment, how much can we grow Perimeter Security versus the others.
Rizk Maidi: Perfect. And the last one, and I promise. You've talked about project delays in the U.K. Maybe if you could just quantify those? And I guess these should come back now in H2?
Nico Delvaux: Yes. I think we had expected a small positive organic growth in the U.K. In reality, we had a small negative organic growth in the U.K. and the difference between the 2 was some project delays on the commercial side and also an unfavorable comparison with last year where we got a big project on the commercial side. So we are confident that we should see growth in the U.K. now going forward.
Operator: We now have a question from the line of Nick Green from Bernstein.
Nicholas James Green: The question is on HHI. Can you just give us an update on your planned disposal processes? You mentioned that the faucets business has been put into a separate subdivision. But just remind us again, please, on what your intentions are for some of the businesses that you hadn't originally intended to keep and if there's any status update there?
Nico Delvaux: Yes. It's interesting that you say that can you talk about the divestment of the faucet business because I think we never have said that we will divest the faucet business. We have said always that we will, at the right moment in time, look at the faucet business and to see if that is something that fits in our portfolio or not. Up till, I would say, yesterday, this was not really something we were looking into it for the simple reason that we had our TSAs, our service agreement still with Spectrum brands, and they were for the complete HHI organization. And if we would already decide to divest the faucet business, that would have been very complicated with the TSAs. We are now since mid of May out of the TSA. So that is not an argument anymore, but we have decided and we had to decide also to focus our activity on other things. One is on realizing the synergies because we see still a lot of synergies that we can grasp and we prioritize that. And then you will appreciate that we have been very busy with all the tariffs and the tariff movements over recent months. But it's definitely a strategic question that we will take up now and see what we will do with the faucet business going forward. I would say that's the only strategic question that we have on HHI. All the rest is very obvious that it is core to what we do, and there's no discussion of eventual divestment of anything else in HHI.
Nicholas James Green: Okay. Then maybe just a quick follow-up on the same topic. Should we understand the faucet business to be margin dilutive to HHI? In other words, to get HHI up to your target of 16%, can you do that whilst keeping the perimeters you currently have it? Or would you need to make a decision on the faucets to do so?
Nico Delvaux: I can say that the faucet business today is a profitable business. It's definitely not a burning platform. That's also why we did not prioritize a possible decision on faucet business earlier in the stage. We didn't know faucet business before we bought HHI. I think it's an interesting business, very similar to what we do in our core. Obviously, it's not -- it has nothing to do with access solutions. Then going forward, that will, of course, be part of the analysis that will lead to a possible decision is how much can we improve margin on faucet business and how can we eventually have a sustainable position there or not. So we'll take that with us in the strategic review and that then will lead up to a decision, yes or no.
Operator: We have a follow-up question from the line of Midha, Vivek from Citi.
Vivek Midha: My follow-up is on the EMEIA margin, 13.9%, even though you benefited 50 basis points from the stronger SEK. And we are now gradually seeing a recovery in the Nordics, which is margin-accretive. So could you maybe talk about your expectations for the path towards the historical margin level of around 16%? Are there any other actions that you're taking in order to drive that improvement?
Nico Delvaux: Well, it's clear that we are not happy with the margin of EMEIA where it stands today. The lower margin in Q2 has, of course, everything to do with the minus 1% organic growth. Think we have today a very good cost structure in EMEIA that if we can get a little bit of positive organic volume growth that we should start to see very good volume leverage and very good margin accretion. But obviously, we need that organic volume growth to come back. EMEIA, as you know, is very exposed to residential, around 45% of what we do in EMEIA is residential. And therefore, to have really true strong organic volume growth, we need the residential market to turn not only in Sweden, but definitely also in the EU. That being said, I think we are confident that things will improve in EMEIA now in the second half of the year. And we still have that ambition to, over time, go to the 16% target level for EMEIA. But for that 2 things have to happen. The SEK has to be strong or remain strong because the SEK diluted our results a year, 2 years ago in a significant way. It has up now in the last 6 months. So -- but that trend should continue. And the residential market has to turn. If those 2 things happen, I'm very confident that we will come close to that ambition of 16% for EMEIA.
Björn Tibell: I think we have -- operator, I think this means we have time for one more question.
Operator: We now have a question from the line of Andre Kukhnin from UBS.
Andre Kukhnin: I just wanted to come back to LatAm. You mentioned a couple of times quite insistently that you're concerned about what's happening there vis-a-vis tariffs. Have you seen your kind of order book deteriorating there already or any other tangible signs of that happening? Or is it just a broader kind of cautioning given what we're seeing in the news?
Nico Delvaux: Sorry, the question was specifically when I made the comment on Brazil's tariffs. But tariffs in general or tariffs...
Andre Kukhnin: Yes, Brazil...
Nico Delvaux: Yes.
Andre Kukhnin: No, I just meant -- I think there's a couple of times in the call and Q&A where you specifically commented on concerns over, I think, outlook for Brazil and Mexico, given the tariffs announcements. And I just wanted to check if that's something that you're already seeing evidence of demand deteriorating there? Or is that just a concern given the footprint?
Nico Delvaux: No, it's more a concern given the footprint. If you look at the last 3, 4 years, we have had very strong positive development in Mexico and even better in Brazil. So the only negative thing is perhaps the strong comparison with a year ago for Brazil and to a certain extent, also Mexico. But it's not something we see in the numbers. It's more a concern because also the announcement of Mr. Trump was just from a couple of days ago, right? It would be too fast to see those results already on Brazil.
Björn Tibell: I actually think we can take one more question, operator.
Operator: The next question comes from the line of Tommaso Nocchi from Goldman Sachs.
Tommaso Nocchi: The North America commercial performance that you talked about is related to prebuy linked to tariff, if any of that is related to that?
Nico Delvaux: I think that question came earlier. We don't see that the growth in the Americas is linked to prebuying of the tariffs. It's nothing significant, no.
Björn Tibell: Excellent. Well, that means it's time to round up the conference now. And if there are any follow-up questions, as always, feel welcome to reach out to Isabelle or myself at Investor Relations. So then it only remains for us to wish you a wonderful summer and a wonderful break, hopefully soon. And we will speak with -- to many of you after the summer break. Thank you for today.
Nico Delvaux: Thank you.
Erik Pieder: Thank you.